Braulio Medrano: Good evening, everyone, and welcome to World Kinect's Fourth Quarter 2024 Earnings Conference Call, which will be presented alongside our live slide presentation. Today's presentation is also available via webcast on our Investor Relations website. I'm Braulio Medrano, Senior Director of FP&A and Investor Relations. With me on the call today is Michael Kasbar, Chairman and Chief Executive Officer; and Ira Birns, Executive Vice President and Chief Financial Officer. And now I'd like to review our safe harbor statement. Certain statements made today, including comments about our expectations regarding future plans and performance, are forward-looking statements that are subject to a range of uncertainties and risks that could cause actual results to materially differ. Factors that could cause results to materially differ can be found in our most recent Form 10-K and other reports filed with the Securities and Exchange Commission. We assume no obligation to revise or publicly release the results of any revisions to these forward-looking statements in light of new information or future events. This presentation also includes certain non-GAAP financial measures. A reconciliation of these non-GAAP financial measures to their most directly comparable GAAP financial measures is included in our press release and can be found on our website. We will begin with several minutes of prepared remarks, which will then be followed by a question-and-answer period. At this time, I would like to introduce our Chairman and Chief Executive Officer, Michael Kasbar.
Michael Kasbar: Thank you, Braulio. Good evening, everyone, and thank you for taking the time to attend our call today. As I look back on 2024, I am pleased to report that as a result of our focus on efficient capital allocation, combined with our focus on driving operational efficiencies, we are making good progress towards our medium term financial targets. Our efforts are clearly beginning to bear fruit, further evidenced by the strong cash flow generation in the fourth quarter and the full year and consistent with the cash flow target we shared at our Investor Day last March. This enabled us to repurchase $100 million of shares during the year, nearly double the amount repurchased in 2023. Ira will elaborate, but this demonstrates our commitment to enhancing shareholder returns. Our aviation business delivered impressive results in the fourth quarter, capitalizing on favorable market conditions in both our commercial resale and business and general aviation activities, while our marine business performed in line with expectations given the current market environment. The land segment delivered solid results in the fourth quarter and its strongest quarterly operating margin for the year. We firmly believe this trend will continue over the course of 2025 as we make steady progress in consolidating our portfolio of activities and standardizing our North American liquid land operations onto a unified technology and operating platform, enabling the cost reduction and higher asset utilization necessary to further improve operating leverage. As I stated at our Investor Day last March, this initiative mirrors the formula we have followed in our aviation marine businesses over the years, and we are confident it will drive greater scalability and financial and commercial impact in U.S. land in 2025 and beyond. One of the key actions we took during the fourth quarter was the divestiture of our business in Brazil. As previously reported, this business had been a source of significant earnings volatility, was underperforming and was increasingly disadvantaged by unfavorable local and macroeconomic trends. This move aligns with our strategy to streamline our land operations. We are committed to continuing this approach into 2025, shedding additional underperforming activities as necessary and reallocating capital to improve financial returns. Our acquisition pipeline is expanding across various sectors of our core business. These opportunities offer significant growth potential, but we will remain disciplined, investing only where it makes strategic sense, working to ensure that our investments enable or accelerate growth while leveraging and complementing our existing platform. The good news is that our strong cash flow and solid balance sheet provide us with ample financial resources to pursue and capitalize on the opportunities available in the market today. So in closing, we have created positive momentum heading into 2025 by focusing on efficient last half mile energy distribution solutions to aviation, marine and land-based end users in markets that suit us. I look forward to sharing more details over the balance of the year. I'll now turn the call over to Ira for a financial review.
Ira Birns: Thank you, Michael, and good evening, everyone. Unfortunately, I have a lot to say on this call being a year-end covering the quarter and the full year. Before we begin, please note that our non-GAAP results reflect several adjustments this quarter to our GAAP results. Reconciliations are, as always, on our Investor Relations website and also in today's webcast presentation. There were several non-GAAP adjustments in the fourth quarter, which totaled $143 million or $138 million after tax. The largest of these non-GAAP adjustments relates to the sale of our operations in Brazil that Mike just referred to. As part of our ongoing efforts to sharpen our portfolio of business activities, we made the decision to sell this business during the fourth quarter, completing the sale in December. The recent underperformance and significant complexities associated with operating this business led us to explore an exit strategy, which we were able to execute on quickly. This decision supports our ongoing priority of driving improved performance in our land business by continuing to narrow our focus to areas with the greatest opportunities for growth and operational efficiencies. It is also aligned with our goal to achieve our medium term targets, most specifically for operating margin and free cash flow. This sale did result in a onetime noncash pretax charge of approximately $111 million. However, the related balance sheet impact was minimal as a significant portion of this charge, approximately $80 million, relates to cumulative unrealized foreign currency translation losses previously recorded within shareholders' equity. Additionally, our fourth quarter non-GAAP adjustments also included approximately $9 million of costs associated with exiting certain North American land business activities, which like Brazil were underperforming, further contributing to further improvements in our broader land businesses performance, sorry. Looking ahead, we see additional opportunities to further refine and improve our land portfolio, with growth coming from a combination of organic opportunities and strategic investments, but also from continued focus on shedding or restructuring underperforming business activities. This should continue to simplify and strengthen the land business narrative, enabling us to achieve our medium-term targets and drive increased shareholder value. Stay tuned for more updates over the next few quarters. The balance of the fourth quarter non-GAAP adjustments approximately $22 million principally related to an impairment of a minority equity investment in a non-core business activity. Now, let’s turn to our fourth quarter and full year operating results. And again as a reminder, these results exclude the impact of all the non-GAAP adjustments I just reviewed. On a consolidated basis, our fourth quarter total volume was 4.5 billion gallons down 1% year-over-year and our full year volume of 17.7 billion was down approximately 2%. Consolidated adjusted gross profit declined 8% from last year’s fourth quarter to $259 million, which is near the top of the guidance range we provided last quarter. The year-over-year decline was primarily due to lower gross profit in aviation impacted in part by the Avinode sale earlier last year, as well as Marine and our Land segment was effectively flat year-over-year. Consolidated adjusted gross profit was $1.03 billion for the full year, down 7% from 2023. This is primarily driven by year-over-year gross profit declines in our Marine and Land businesses of 9% and 14% respectively, and again the sale of Avinode and aviation partially offset by increased gross profit in our core aviation business activities. Now some additional detail segment by segment for both the quarter and the full year 2024 to help explain the year-over-year movements. First, aviation, in the fourth quarter our aviation volume was 1.8 billion gallons up 4% year-over-year, principally driven by core aviation business activity. For the full year, aviation volume of 7.3 billion was down 1% year-over-year, impacted by our decision to exit certain low margin bulk fuel business during the fourth quarter of 2023. If you exclude the impact of exiting this particular activity, 2024 volume was up approximately 4% year-over-year. In the fourth quarter, aviation gross profit was $120 million, a decrease of $11 million or 8% year-over-year. And once again, this decrease is attributable to the sale of Avinode during the second quarter of 2024 as well as lower inventory related profitability year-over-year. This was all partially offset by growth in our core commercial resale activities and our business and general aviation activities. For the full year, aviation gross profit was $486 million, effectively flat year-over-year. While we delivered growth in our core commercial resale business, this was generally offset by the impact of the Avinode sale. As we look to the first quarter, aviation results should experience a traditional seasonal decline from the fourth quarter and we expect a year-over-year decrease in gross profit again principally related to the Avinode exit early last year. On to Land, in the fourth quarter, land volumes decreased 5% year-over-year, principally driven by decreases in our North American wholesale and retail business activities. Natural gas and power volumes represented 40% of our total volume in the fourth quarter, up from 37% in the fourth quarter of 2023. And for the full year, our overall land volume was 6.1 billion that’s down 3% year-over-year. In the fourth quarter, land adjusted gross profit was $104 million, which was effectively flat compared to 2023. For the full year, land adjusted gross profit was $384 million, that was down 14% year-over-year, primarily attributable to unfavorable market conditions in Brazil and the UK, lower profit contributions from our natural gas and power businesses as a result of lower market prices and volatility and reduced profitability from our sustainability related offerings. As we look to the first quarter, we expect land gross profit to be up year-over-year with more significant improvement in profitability expected as the year progresses. In the fourth quarter, Marine volumes were down 4% year-over-year and they were down 2% year-over-year for the full year 2024. Fourth quarter marine gross profit decreased approximately 22% year-over-year and for the full year, marine gross profit was down 9% year-over-year. The year-over-year declines in gross profit were principally driven by lower bunker fuel prices and reduced market volatility. As we look to the first quarter, we expect marine gross profit to be down year-over-year for effectively the same reasons. But as the year progresses, we should begin to see the marine year-over-year comparisons normalize as market conditions and prices began softening in the second quarter of 2024. On a consolidated basis, as we look toward the first quarter with the backdrop of the related segment gross profit comments I just shared, we expect consolidated gross profit to be in the range of $234 million to $241 million. Now, let’s talk about expenses. Adjusted consolidated operating expenses were $197 million in the fourth quarter that’s down 5% year-over-year and consistent with the guidance provided last quarter. For the full year, adjusted operating expenses were $773 million that’s down about 6% from $819 million in 2023. While our operating margin did not improve year-over-year, actions already taken during 2024, including the sale of Brazil and exiting certain North American land business activities have already improved our run rate operating margin as we have kicked off 2025. Speaking of 2025, for the first quarter, we are expecting adjusted operating expenses of $179 million to $184 million, a further decline from the fourth quarter and a decline of 4% year-over-year, impacted in part by discontinued business activities, but also our continued focus on driving operating efficiencies across the entire business. For the full year 2025, we are expecting another year-over-year decline in adjusted operating expenses similar to the decline experienced in 2024. Again, we remain focused on driving greater operating efficiencies in our overall business, which may include restructuring activities or exiting other underperforming non-core business activities while driving improved efficiencies in our core activities which are performing well. This focus, together with actions already taken should enable us to achieve year-over-year improvement in our operating margin in 2025, making good progress towards our medium term 30% operating margin target. We generated $361 million of adjusted EBITDA in 2024. While we clearly have progress to make to achieve our medium term EBITDA target shared at last year's Investor Day, exiting underperforming business activities, driving broader operating efficiencies in our core businesses and maintaining our solid cash flow profile and strong balance sheet which should enable us to tap into a growing pipeline of strategic investment opportunities that Mike referred to should provide us with growing momentum in support of this medium term target. Interest expense was $22 million in the fourth quarter down approximately 33% year-over-year and below the guidance provided last quarter. Full year 2024 interest expense was approximately 20% down from 2023. For first quarter of 2025, we expect interest expense to be in the range of $22 million to $23 million. Our adjusted effective tax rate for the fourth quarter was 12%. This was positively impacted by a discrete tax benefit during the quarter, resulting in a full year 2024 adjusted effective tax rate of just under 15%, a few percent lower than anticipated heading into the fourth quarter. It is clear that our 2024 tax rate will be difficult to replicate in 2025. So based upon what we know today, we expect our adjusted effective tax rate for the full year 2025 to be somewhere in the range of 22% to 25%. Rebounding from using cash in the third quarter, during the fourth quarter, we actually generated operating cash flow of $120 million and free cash flow of $102 million, resulting in $260 million of operating cash flow and $192 million of free cash flow for the full year, well in line with our longer term cash flow target. Over the past three years, we have now generated approximately $435 million of free cash flow and we remain focused on continuing to drive strong cash flow results and improving shareholder returns. These strong cash flows have enabled us to continue returning value to our shareholders through buybacks and dividends. During the fourth quarter, we repurchased an additional $43 million of shares, increasing total full year repurchases to $100 million or 3.6 million shares. For the full year, total capital allocated to share repurchases and dividends was $139 million, representing a 47% increase in year-over-year. And over the past three years, we have now returned $312 million to shareholders through buybacks and dividends, representing 72% of the free cash flow generated during this period, again, demonstrating our continuing commitment to enhancing shareholder returns. In closing, I want to leave you with a few thoughts. Aviation delivered solid year-over-year results driven by strong performance in our core commercial business and the sale of Avinode earlier in the year enabled us to free up capital to reinvest in our core business activities. While our Land segment experienced weakness in the first half of the year, land rebounded nicely in the second half with the fourth quarter operating margin showing significant improvement from earlier in 2024. Additionally, we divested our Brazilian operations and exited certain land activities in North America as part of our continuing effort to sharpen our portfolio of business activities and simplified the Land segment story while also improving our overall returns. Marine was impacted by declining bunker fuel prices and market volatility, but continues to maintain an efficient operating model, providing opportunities for increased profitability and cash flow when market conditions improve. For the full year, again, we returned approximately $139 million to shareholders through repurchases and dividends. We repurchased more shares than we have historically repurchased on an annual basis during 2024 and we also increased our dividend by 21% during the year, evidence of our increased confidence in our cash flow generation and improving dynamics and returns in our broader business. And we remain dedicated to our medium term goals, taking strategic actions to position the business for future growth while also driving improvements in operating efficiencies. In closing, I want to express my appreciation to our employees across the globe for their hard work and commitment to World Kinect throughout the year. Their dedication to our suppliers, customers and to each other is truly invaluable to us as we look to the future. Thank you and I will now turn the call back to our operator Latif to open the Q&A session.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Ken Huxter of BofA. Your line is open, Ken.
Ken Huxter: Great. Good afternoon Ira and Michael. I guess, maybe just digging into the Brazil sale and your certain North American businesses, maybe describe a little bit about what was shed, how you think about further refinement, you talked about maybe the potential to see what you can still do as you go through the businesses and maybe the scale of what was sold and what's on the block or what could be on the block as you move forward to continue to refine those ups. Thanks.
Michael Kasbar: Sure. Thanks for the question, Ken. So Brazil was a relatively small part of the land business, but as we mentioned the last couple quarters it had a fair amount of volatility associated with it and started generating losses. To be honest, we talked about the Russian cargoes and our inability to compete with local Brazilian competitors that were able to take advantage of things like that. And it’s just a higher risk environment to operate in. So we found the opportunity to get out relatively quickly. We got some cash out of that. It wasn’t a massive amount of money and it doesn’t really have much of an impact on, I mean, literally the gross profit generated that business was close to zero. And we of course had some expenses below that line. So that’s the Brazilian piece. In the US, we had a business that had some components to it that weren’t core. One example of that would be a heating oil business that wasn’t performing very well and probably had just an overall inefficient structure. So we were able to restructure that business, get out of the heating oil piece of the puzzle, shed some assets, reduce the number of employees needed to participate in that business. And that takes that particular activity instantly from losing a few million dollars a year to making several million dollars a year. So those combined moves are clearly accretive in 2025 versus 2024. What’s left? The good news is we’re getting there, right? We’re starting to weed through just about all the pieces of the pie that really don’t make long-term sense. There’s probably one or two more. I think we’re trying to narrow our focus in land to our core activities in North America where we have growing capabilities from a platform perspective and scale, which we don’t have in other parts of the world. So that’s where we’re focused on driving efficiencies. And Brazil was one international piece of the pie. We still have some other activity outside of the U.S. And I think over the next several months we’ll tell the rest of that story. And all of that helps move land in the direction that we talked about in Investor Day, which helps our overall consolidated story and things like our operating margin target and just overall returns, because there’s a fair amount of capital employed in some of these businesses that we’ve now freed up. So all in line with what we’ve been talking about over the last several quarters.
Ken Huxter: So I guess back to that can we put a number on it in terms of gross revenue scale or – it sounds like gross profit was nothing on Brazil. But I don’t know, just scale of Brazil and the U.S. components that were shed? And maybe a dollar size of kind of just percentage of revenues you can look to shed going forward.
Ira Birns: Yes. The revenue shedding is an immaterial number. Again, in Brazil, the net revenue was literally zero. So we weren’t generating any gross profit and we had $6 million, $7 million expenses, so very small. In the business in the U.S., it’s also a very small amount of revenue. It was more shedding expenses than actual revenue. So they’re rounding errors for your – to be honest for your modeling perspective. But they’re instant improvement because we’re taking out expenses without – with giving up next to no revenue.
Ken Huxter: And you’re saying there’s maybe one or two other opportunities like that to pull out cost outpacing revenues.
Ira Birns: Yes, we still have some opportunities. The other opportunities may involve taking out some revenue, but likely taking out an equal amount of cost. So net-net businesses that may not be generating much profitability that are weighing down our operating margins and our returns because they’re not really making much of a contribution. Fewer of those left. But there’s still a couple of opportunities like that that we’re looking at.
Michael Kasbar: And Ken, just following the comment last quarter, the U.S. is the focus, right? Large market – largest energy market in the world. I’m still pretty sure of that. And then of course we’ve got our sustainability business, which natural gas and power. But the focus is really the U.S. that’s a big target for us and optimizing that. So that’s the name of the game in the go forward land portfolio. The sustainability business has got its ups and downs, but it’s got a runway to it. Primary focus is U.S. gasoline and diesel business. We operate the largest card lock network in the U.S. So that’s going to be, I think a bit more clear and a simpler story to basically discuss on a go forward basis.
Ken Huxter: Wonderful. Ira, if I could just follow up on one of the business lines on the metric. Gross profit per metric ton seems really volatile lately, right? You’ve gone down to $1.34, down 19% year-over-year after being up 10% in the third quarter, down 13% in the second quarter. Maybe just delve into what’s going on in Marine in terms of – obviously, we know the volatility in the shipping lanes, but what’s going on with your business?
Ira Birns: The margin in marine is always heavily dependent on volatility and pricing. As pricing has softened, we naturally have a tendency to see margins come down a bit. I think the team has actually done a very good job, [indiscernible] maintaining margins at higher than historical levels relative to the current price environment. But they're still down compared to where we were a year ago, right. We started seeing that softening in the second quarter of last year. So what I was hinting to earlier, as we get into the second and third quarters, the year-over-year comparisons should be somewhat similar pricing and volatility levels stay in these levels. But we've still been through the first quarter dealing with year-over-year comparisons to higher prices and higher volatility. So you haven't seen obviously since these numbers are in dollars as opposed to pennies, those moves tend to look a bit more meaningful. But they have been trading in a pretty tight band relative to the underlying commodity price.
Ken Huxter: Great. And last one for me, just on aviation, you showed some growth. Is that international air freight growth that it's tied to? Is there something domestic increased contracts? Just trying to wonder a little bit different than what we're seeing economically, a little bit stronger at 3.5% up year-over-year in the fourth quarter on the gallons. I know you've got Avinode and everything out of there, but just wondering what's driving the volume side?
Michael Kasbar: You hit on it in your first couple of words. Most of the improvement was actually overseas in Europe and Asia. Asia was always the slowest to come back over the last few years. So we saw some improvement there. And Europe was pretty strong as well. So most of that was more and over outside of the U.S.
Ken Huxter: Is that tied to the de-minimis or is that just more consumer growth?
Michael Kasbar: Yes, it’s commercial passenger growth principally.
Ken Huxter: Okay, great. Thank you very much. Appreciate the time.
Michael Kasbar: Thanks, Ken.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of John Royall of JPMorgan. Please go ahead, John.
John Royall: Hi, good evening. Thanks for taking my questions. So my first question is on returns to shareholders and the buyback is kind of the flywheel there. Are you comfortable in that 70% to 75% range of free cash flow payout this year? Can you do that level of returns and also preserve the dry powder that you might need for some of the acquisitions that Michael discussed in his opener?
Michael Kasbar: So thanks for joining us again, John, great question. Obviously, the 72% number is on the higher end of historical ranges for us. It was a year where we had solid cash flow, only made one small acquisition. So it enabled us to be a bit more aggressive in terms of the total capital that we were able to use for buybacks and dividends. I wouldn't guarantee that we will always spent 72%. I think in Investor Day we set the longer-term target was around 40. There will be years like 2024 where we'll be able to do and want to do more than that and there will be years where the number will be closer to 40. So probably can't give you an answer much better than that, but kind of the stars [ph] were in alignment this year because of our cash flow and the fact that we saw prices come down, our working capital actually came down during the year contributing to that cash flow production. So it just gave us more free powder, more dry powder to make those investments.
John Royall: And acquisition values where we thought [indiscernible]
Michael Kasbar: Right. And buybacks are easier to integrate than acquired companies. That's another reason we did.
John Royall: Understood. Thank you. And then maybe just to follow up on the land segment, can you break down a little bit just any of the components of the year-over-year gross profit growth in land that you expect in 1Q? Sounds like maybe some of the North America exits were actually loss making on the gross profit side. So maybe there's some of it is just from exiting those. But just trying to understand the high level drivers of the improvement in 1Q, organically market driven and any impact from those exits?
Michael Kasbar: Yes, we don't expect substantial increase year-over-year but the improvements anticipated in the core. So I would say that would principally be our cardlock and retail businesses in North America. That's where we expect a bit of improvement. Obviously, Brazil's out, but that's not really going to move the needle because that number was zero with the gross profit line and expecting a little bit of improvement in – on the nat gas side of the equation as well on a year-over-year basis.
John Royall: Thank you.
Operator: Thank you. I would now like to turn the conference back to Michael Kasbar for closing remarks. Sir?
Michael Kasbar: Okay. Well, thanks very much for joining us and thanks to our global team. We've got the best global team in the business with burning desire to serve our customers, suppliers and partners around the clock. And it's a pleasure to serve with you. So thanks everybody and look forward to talking to you next quarter. Bye-bye for now.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.